Operator: Good afternoon, everyone and welcome to the 2016 First Quarter Financial Results Conference Call for American Shared Hospital Services. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Dr. Ernest Bates, Chairman and Chief Executive Officer; Craig Tagawa, Chief Operating and Financial Officer; and Alexis Wallace, Controller of American Shared Hospital Services. Mr. Tagawa, you may begin.
Craig Tagawa: Thank you, [Yolanda] and thank you all for joining us for AMS’s 2016 first quarter financial results conference call and webcast. Please note that various remarks that we may make on this conference call about future expectations, plans and prospects of the Company constitute forward-looking statements for the purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may vary materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the Company’s filings with the Securities and Exchange Commission, including the Company’s Annual Report on Form 10-K for the year ended December 31, 2015, and the definitive Proxy Statement for the Annual Meeting of Shareholders to be held on June 21, 2016. The company assumes no obligation to update the information contained in this conference call. Without a doubt the most significant recent news at AMS occur early in April. We’re pleased to announce the initiation of patient treatments at AMS’s first proton therapy center, the Marjorie and Leonard William center for proton therapy at U.S. Health Cancer Center, Orlando Health in Florida. It took as many years of hard work to get to this point. And we are excited to turn the corner from the development phase to the actual clinical operations. We expect this new proton system to contribute modestly to revenue in the second quarter and more substantially in the year’s second half as UF Health Cancer Center-Orlando Health moves up the learning curve with the MEVION S250 proton device we supplied. A rapidly growing body of professional research and clinical experience with proton therapy underscores the advantages of protons over conventional X-rays in the treatment of a wide range of cancers. We believe we have entered a period of sustained growth in the development of proton centers at hospitals throughout the country, and the successful development and opening of UF Health Cancer Center-Orlando Health positions AMS to be a significant beneficiary of the growth in the industry. Our Gamma Knife business also performed well in the first quarter continuing the trend of year-over-year against in treatment volume, revenue, gross margin and operating income to businesses as well consistently in recent quarters. We remain focused on improving operating margins, and working with our hospital partners to increase utilization of our Gamma Knife systems. Now I will turn the call over to Alexis Wallace to go over the financial results in detail. Alexis?
Alexis Wallace: Thank you, Craig. For the three months ended March 31, 2016 medical services medical services revenue increased 2.9% to $4,238,000 compared to medical services revenue of $4,117,000 for the first quarter of 2015. Excluding one customer contract that expired after the first quarter of 2015, medical services revenue increased $374,000, or 10.0%. Net income for the first quarter of 2016 of $51,000, or $0.01 per share, included a loss on the early extinguishment of debt of $108,000. In February 2016 the company used a portion of the proceeds from the lease financing for its first MEVION S250 to pay down the $1 million note with four members of the Company’s Board of Directors. The note agreement permit for early payment without penalty to the Company and amortized balance to the fair value of the common stock warrants issued with the board note of $80,000 and deferred fees incurred from issuance of the note of approximately $28,000, or recorded as a loss on the early extinguishment of debt on the Company’s condense consolidated top statement of operations as of March 31, 2016. Excluding this non-cash loss and net of estimated income tax, net income for the first quarter of 2016 was $115,000, or $0.02 per share compared to net income for the first quarter of 2015 of $128,000, or $0.02 per share. Excluding one customer contract that expired after the first quarter of 2015, the total number of procedures performed in AMS’ Gamma Knife business increased 6.2% for the first quarter of 2016 compared to the same period of 2015. Medical services gross margin for the first quarter of 2016 increased to 40.9%, compared to medical services gross margin of 38.8% for the first quarter of 2015, primarily the result of reduced maintenance costs. Operating income increased 9.4% to $499,000 for the first quarter of 2016 compared to operating income of $456,000 for the same period a year earlier. Pre-tax income, net of income attributable to non-controlling interest and the loss on early extinguishment of debt, decreased to $223,000 for the first quarter of 2016, compared to pre-tax income, net of income attributable to non-controlling interest, of $258,000 for the first quarter of 2015. Selling and administrative expenses for the first quarter of 2016 increased to $949,000 compared to selling and administrative expenses of $821,000 for the first quarter of 2015, primarily the result of higher accounting and consulting expenses. Adjusted EBITDA, a non-GAAP financial measure, increased to $2,129,000 for the first quarter of 2016, compared to $2,119,000 for the first quarter of 2015. Please refer to the financial statements included with this morning’s press release for a reconciliation of GAAP to these non-GAAP financial measures. At March 31, 2016, cash and cash equivalents were $2,190,000 compared to $2,259,000 at December 31, 2015. Shareholders equity at March 31, 2016 was $25,481,000, or $4.75 per outstanding share. This compares to shareholders’ equity at December 31, 2015 of $25,180,000, or $4.69 per outstanding share. Craig?
Craig Tagawa: Thank you, Alexis. Yolanda we are ready for the first question.
Operator: Thank you. [Operator Instructions] And we have [Edward Corcoran] online. Your line is open.
Unidentified Analyst: Good afternoon, gentlemen and ladies. I had a couple of questions here. Main question I have over all is one that’s been asked a few times before and I know that you just mentioned it in your briefing. And the question is, why is the share price so mismatch with book value? We’re basically at least 100% below book value from our share price right now. So why is that, why can you - why can we continue as a company and not have a public explanation for why that’s happening?
Craig Tagawa: We can’t speak to why there’s – the public is not recognizing the value. The shares we think with the introduction of the first proton beam, which people obviously have been waiting for some time. That we should start catching up with the book value. And I think time will tell that. We think they’ll start to equilibrate over time.
Unidentified Analyst: So that’s the only thing that right now that you have on - as an explanation of what you’re going to do or the book value is just this project we have now?
Craig Tagawa: I don’t know there is what’s mentioned previously that we should go on the road, we plan on doing a presentation in early June at the MD Micro Conference. So we hope to start getting the word out as to what the Company’s plans are going forward. And it’s really we believe that the Gamma Knife business is still a very good business, we hope to grow that both organically and through some new sites as well as watch the growth of the - of our new center at Orlando Health as well as get some new contracts for additional proton centers.
Unidentified Analyst: Well for the last three years you’ve been talking about. We really need growth and EBITDA and I think perhaps additional disclosures might help. So that gives me a follow up question is why can’t you disclose items like the net asset value for each one of these machines annually because it seems that every time we have a machine that’s sold. We take some kind of a loss. And we have no idea as a shareholder whether the net book value and the net asset value either on these machines and you talk about growth. There’s not been any growth, because the share price in the after-tax profit has been flat and that’s why the [stockings] seem to stay flat. But you can’t talk about growth, but I see no growth. So where is the growth that you are talking about?
Craig Tagawa: I think we’ll start seeing growth with the introduction of the first proton center and I don’t understand when your time about losses through the sale of Gamma Knife units I guess.
Unidentified Analyst: Well for instance you took a big loss on the investment in Turkey, right? That was a disaster. You tool a loss on that after shareholders, myself as well as others said why you go wandering internationally, so you wrote that machine off, is that correct?
Craig Tagawa: We did take a – recognize a loss in 2014 when we did sell that, that’s correct.
Unidentified Analyst: So what I said was true. And every time you sell a machine you do take – you do have to take either a book profit or book loss when you sell or you trade in these machines, is that correct?
Craig Tagawa: No, that’s not correct. I think we did take a loss.
Unidentified Analyst: Please explain?
Craig Tagawa: We did take a loss in Turkey. The circumstances were quite different there than they are in the United States. When we started the Turkish lira to a dollar was quite different then when we actually sold it. So I think the expectations were obviously different than when we started. The Turkish lira, when we did start the project was quite stable and due to the events throughout the world during that period the Turkish lira did weaken and obviously that weakened our – what we could make going forward, but I think we used prudent judgment in selling the unit what we did. The Turkish lira actually weakened further, so I think we made the right decision, we decided it was more appropriate to take a loss at that time then continue as an operation.
Unidentified Analyst: Okay. So going forward and talking about all the other machines you have in the portfolio of the company in any one-year you’re retiring or you’re upgrading a machine is that correct?
Craig Tagawa: We do periodically. That’s correct.
Unidentified Analyst: So in the last year did you sell or upgrade any of the machines?
Craig Tagawa: We did and we didn’t take any losses.
Unidentified Analyst: Okay. But you don’t report these individual machines what’s your losses. To the public your loss and what you’re carrying is. I mean what I’m trying to convince you of is that; you have a book value of say $4.79 a share somewhere around that. So the shareholders and the public don’t have any information on how to base that valuation yet. You have all that information at hand, but you don’t disclose that. So I’d ask for you to consider in the future how you could improve the transparency and disclosure on the assets, so that the marketplace could value that. Because there are no corresponding EBITDA numbers that would value anything close to where the book value is. So, when you talk about growth, the growth is irrelevant. We need to see profits in net EBITDA improvement and those items are not being reported on a machine basis, so we have a clue about how to value that. So that’s my suggestion on that.
Craig Tagawa: We’ll take that suggestion.
Unidentified Analyst: Yes. I have another question. Because we don’t have a lot of reporting, do you or any of the employees or directors have a financial interest as any counterparty in the contracts with these machines on the other side?
Craig Tagawa: We’ve disclosed in the past that one of our directors was a partner in the Turkey venture.
Unidentified Analyst: Right. And is that gentleman going to remain on the Board?
Craig Tagawa: Yes. He has been nominated to – for the Board this year.
Unidentified Analyst: May I ask why, since we exited that investment?
Craig Tagawa: Well, he has been a very valuable Board member he is assisted us and giving a loan to complete the transaction for financing our unit in Orlando. And he is a very valuable Board member.
Unidentified Analyst: Okay. Another question I regarding about the compensation and I’ve advocated for this at least for the last three years as a significant shareholder. I would ask the Board and the management team and especially Dr. Bates since your significant shareholder for you to consider it a payment of around $75,000 a year instead of this very, very large $400,000 per year compensation package. It would be a material increase in the earnings per share. If we were to see that and for companies of this size having a Chairman of that age and seniority making $400,000 on such a tiny company with almost no profits. Should be considered and I would respectfully request that the Board and the management team and Dr. Bates reconsider again this request that I’ve made for a lower compensation package that would be much more humble and prudent for this company.
Ernest Bates: Okay.
Unidentified Analyst: So can I ask whether or not you could put that on the agenda the next executive committee or board meeting?
Ernest Bates: I think it’s on the pay per performance in the proxy. Shareholders will look at the proxy and they can if it’s appropriate or not.
Unidentified Analyst: As you know that’s advisory. So I’m asking for you to answer the question they made about whether or not you could place that on the next Board meeting agenda for discussion item?
Craig Tagawa: We can do that.
Unidentified Analyst: Appreciate that you consider different amount and to call for a vote in that Board meeting a roll call vote. So that we know which Board members are in favor of a different compensation package? I have one last question and then that would be end for my question that we have if two other contracts with proton beam machines. And those machines we - because of the early commitment made - the pricing of those machines. The Company has the benefit of purchasing those at a discount to what a competitor would be purchasing those out is that correct?
Craig Tagawa: That’s correct.
Unidentified Analyst: Do you have an estimate of what the discount is on each of those machines relative to the market price currently?
Craig Tagawa: I think we’ve asked not to disclose the discount by Mevion.
Unidentified Analyst: The Mevion to ask for you not to disclose that.
Craig Tagawa: We have a discount it goes back our purchase machine in 2006 and 2007 being an early adapter of the Mevion units.
Unidentified Analyst: Right. So again in terms of the trying to get the stock price to trade at something closer to book value. So just assume we have a market value, $10 or $12 million on the company. The discount on these two proton beams could be as much as 50% of the market value of the company. So not disclosing that it seems to me a material matter that’s not being disclosed to the shareholders in the market. So I would ask that you discuss that at the Board meeting as well and reconsider your positioning on that especially given the poor stock performance and thereby poor performance of the Board and delivering shareholder value? So thank you that’s the last request that I have and I know there frankly requests but I would ask that you respectfully consider those at your Board meeting. Thank you.
Operator: [Operator Instructions] Our next question comes from Tony Kamin from Eastwood Partners. Your line is open.
Tony Kamin: Hi, good afternoon.
Ernest Bates: Good afternoon, Tony.
Tony Kamin: Hi, unfortunately I missed the opening statement that some Craig usually gives. So perhaps you already address these and apologize if so, but can you talk about so far the experience at Orlando in terms of the news articles talked about one initial patient have they gone beyond that. I’m trying to get a sense of how that’s progressing in terms of rate of numbers of patients and what proper expectation should be for ramp up about?
Craig Tagawa: Yes, I think what we’ve said is there will be modest revenue increases during the first quarter and the second quarter. It’d be the first quarter for the proton system. They’re going to be ramping up over time, they want to make sure that everybody’s comfortable with the new system form a new really a new product they’ve been doing photons obviously for years and years very successfully and they want to continue that trajectory with protons. And they want to make sure that the whole team is comfortable. I can tell you that they’re doing about eight a day now after one month of operations. I’ll continue to increase that gradually over time. And so we think they’re on track for what we expected them to do. And we think that they will contribute significantly to our revenue figure and probably by the third and fourth quarters as they continue to ramp-up.
Tony Kamin: So does that indicate are they giving you much feedback in terms of their qualitative assessment of the machine or they used with the treatment so far that they’ve done, and I mean are you getting any feedback around sort of the Mevion System, that’s all.
Craig Tagawa: Yes, they’ve been very pleased with the system. The uptime has been very good so far and you know the - they’re just taking the machine to its paces and they’re finding that very user-friendly and I think everything’s very positive so far.
Tony Kamin: Okay. The second question following a little bit on one of the things that Ed mention in his questions I think it’s absolutely correct that there is a big embedded value in the next two machines. One of the ways to really exploit that obviously is to get those machines in operation and since you have a lower cost on them presumably, it allows you really a nice way to take out profitability. So can you discuss I asked this question a fair bit but the pipeline is you see it for placing the next two machines on those two machines in general and then what does the wider pipeline look like in terms of interest and really you know level of interest from hospitals.
Ernest Bates: I think I can answer that. What we’re seeing is that preference for the single room machine over multiple rooms is growing. There are now more single rooms out there in the last year and what there’s been in the previous five years. We are now negotiating with hospitals in the bay area to place a unit in San Francisco or in the North Bay or South bay, we are negotiating with two hospitals in Southern California, we placed two units down in Southern California and we are in negotiations with a hospital in the Midwest. We feel comfortable that we will probably get those signed within that foreseeable future and get financing.
Tony Kamin: So, I mean would your expectation be in not holding each unit but that at least one more unit gets signed this year?
Ernest Bates: We are very hopeful that will happen.
Tony Kamin: Good. And then in terms of the wider pipeline, I guess now with as you said a bunch of units out there, the economy is still good, interest rates still low. Are you finding that there’s a broader number of institutions that are willing to consider and actually interested in talking to you about a potential proton beam in the future?
Craig Tagawa: I think we’re seeing there’s a greater interest now that the single room systems are showing what they can do, and if there are more of them out there – it’s much more affordable both from a CapEx standpoint for hospitals, but also from a human resource standpoint. These larger systems are just – they require not only a large CapEx budget, but also a large number of radiation oncologist, physicists and therapist. So it’s an overall much bigger commitment then just the dollars and so they can get started up quicker at a more economical dollar value with these single systems. So I think, what we’re seeing is if you look at the systems that are under development a greater and greater proportion of those units will be single room systems. I think we’ll see fewer and fewer of the three and four rooms. So I think, we’ll see the ability of more hospitals that are interested in protons to really participate now that the overall cost is becoming less.
Ernest Bates: You know both suggestions in meetings now that the single room now makes protons cost effective and it’s always been one of the criticisms of protons that they were not cost effective, but the single rooms are proving to be cost effective.
Tony Kamin: Maybe another way for me to ask it - do you think hospitals are starting to feel a little bit more pressure now to provide that treatment to their customers or other patients, because before I think there was always the ability to say well, you know it’s too expensive or it’s not. There’s no way to do it and there’s no efficacy or safety data that makes you go that way, but I mean it seems to me that is all really changing and I’m just wondering if that’s actually what you’re seeing in the marketplace?
Ernest Bates: We’re also seeing papers coming out now that show that it is more clinically affected that we are seeing longer lifespan and local tumor control with protons over photons.
Craig Tagawa: I think the other thing, Tony that you’re seeing are all – a lot of the top ranked cancer centers are now investing in protons. You have M.D. Anderson in Houston, you have the Mayo Clinic, you have Memorial Sloan-Kettering announcing that they’re going to do one in New York. So I think they’re really giving credence to the value of protons as being the leaders within the cancer community.
Ernest Bates: And now what we’re seeing that most places are not doing these prostates, the percentage of cases in our prostates are going down another tumors are going up.
Tony Kamin: Great. I mean all that I’m glad that you did mention you’re doing other conference. I think that – I think considering the MicroCap status of the stock and the enormity of being really the only public sort of pure play on proton beams right now that I’m aware of. I do think that as you can continuing to sort of let more potential investors to know about the company and what it’s doing I think will be very productive. So anyway I’m really pleased to see the progress on the proton side and thank you for the answer.
Craig Tagawa: You are welcome.
Ernest Bates: Thank you.
Operator: Our next question comes from Lenny Dunn from Freedom Investors. Your line is open.
Lenny Dunn: Good afternoon.
Ernest Bates: Good afternoon, Lenny.
Lenny Dunn: I want to take a moment actually for thank you guys, the reason were selling at a discount to book value is two fold and really like two fold, one is the lack of exposure, so you see old tree falls in the forest and know one knows and you got a MicroCap stack and people aren’t looking for those type of ideas, you have to show it to them. So that’s one of the reasons you are selling and going to the MicroCap Conference is a good first move, you should probably do at least three or four more of those this year, because we need some exposure. The second reason is that people will care as much about discounts to book value when a company is treading water and are earning money which is what we are doing in the last three or four year’s and now that’s you’re making money people would care. So it makes a big difference and if you keep earning decent amounts each quarter from the Gamma Knife. The stack was trading substantially above book value because the proton will certainly add of our last earnings as it comes in the second half and I certainly like to see you replace the one machine that your contract expired that but the other person who expressed earlier that you sell these things and losses is the opposite of what’s going on in Turkey was a mistake. But it was a unique situation and obviously we have machines over there. You’re not going to get same value forum. But in the United States I would think that if anything you’re very conservative depreciation. And that you’ll be able to if you want to sell the machines you probably get more than they’re written down to but I don’t see any reason to sell them, we just use them and continue to earn money from okay that being said the $0.02 this quarter it was a little bit of a disappointment. I was hoping you’d continue to earn a nickel and from the Gamma Knifes and hopefully going forward that should if you’ll be able to do. I don’t see much more extraordinary is coming on. And I also like to point out to the previous caller that you had directors buy into the stock at above where it’s currently trading. So obviously when you in the private placement it is worth more than is currently trading. But for it to go up people have to get some new people aware of it. I mean we have a substantial position and continue to hold. We haven’t added to it because we’re not interested in taking over the company. And we just want you to keep blocking and tackling and making money on the Gamma Knifes and continue to grow the proton business. So there you have, that does makes sense for you.
Lenny Dunn: Thank you.
Operator: Our next question is from Jack Smith with Private Investor. Your line is open.
Unidentified Analyst: Hi, I’ve been a veteran the company for over 10 years now and I’m going to call myself a frustrated shareholder and when I look back at the Company. Let’s go back 10 years to 2006, the share price was over $6 a share it’s now two for the Company’s lost about the share price of the Company’s lost about 70% in value. If you look at the average micro-cap stocks since that time it’s up you know anywhere from 50% to 100%. The Company paid a dividend of $0.19 it’s now at zero. The Company was profitable to pay dividends. Now we’re happy to breakeven. Over the last 10 years there’s been a - there was a failed buyout which the Company spent close to $1 million in legal fees if I remember correctly. Has been a failed venture in Turkey which led to significant losses. In 2012 I think you came out with what was called OR21. There was a press release that – said that we expect revenues in late 2013. You guys just don’t even talk about that anymore. At the end of every quarterly conference call there is Dr. Bates gets on and says well we’re talking with this firm and that firm and we expect, news announcement shortly and I think the last call was we expect something within the next three weeks and nothing ever happened. So my questions to management team is what is happened over the last 10 years that’s led to that sort of degradation in the result and the share price and the profitability of the Company.
Craig Tagawa: I think one of the Gamma Knife business has matured it still a very good business, but obviously some of the contracts that we have had earlier that have expired or a much higher rate and there are currently that’s just the fact I think as businesses mature that does happen. It’s not uncommon I think that’s one of the reasons why we went to the direction of protons, the new and emerging market and I think we’re still comfortable that we made the right decision we think the Gamma Knife business is still a good business. But obviously it doesn’t make as much as it used to. We decided to conserve money as we said when we stopped the dividend so that we could concentrate on protons. We believe in protons and I think really it’s we’ll have to see how the first one does to prove obviously whether we are correct in our assumptions or not. We still think we are correct in the assumptions we made about protons and the direction for the treatment of cancer using radiation therapy. So we agree the profitability of the company has gone down. I think the management has taken steps to build the business with a new platform and I think we stuck with that plan and we’re comfortable with that plan.
Ernest Bates: In 2006, when we invested and maybe we invested in a disruptive new technology, the existing technology was selling for $150 million to $100 million. And they have developed machinery took them a long time, a long time to develop the machine, and a long time to get it FDA approved. But right now it sells for a lot less than the initial machines we’re selling for. To my mind has been a successful venture, low prolonged.
Unidentified Analyst: Yes, it’s just been disappointing guys.
Ernest Bates: In 2006, we felt we are going to have FDA approval by 2008.
Unidentified Analyst: Yes, there is been aside from the proton there’s been other ventures, other announcements that just haven’t worked out for the company. And as much as I respect the management team I keep calling back to the question is the current management team right to lead this company. And you Dr. Bates as a Board of Director have oversight over the management team. Is the current management team given the track record over the last 10 years? Is the current management team the right group to lead this company? Or should the company even be sold and realize this quasi book value of close to $5 per share it’s just - it’s been a frustrating way?
Ernest Bates: I understand your frustration. We believe it’s the right management team. It’s the most knowledge team in terms of understanding the proton business that there is in the world.
Unidentified Analyst: Okay. That’s all. Thank you.
Operator: Our next question comes from Tony Pollock from Aegis. Your line is open.
Tony Pollock: Good afternoon. Could you give us an idea of what the St. Louis photon-beam therapy machine is doing?
Craig Tagawa: I’m not necessarily preview to that number, I don’t think they publicly disclose, I think the only publicly disclosed number that I’ve heard is that in the first year. I think they said they did about 100 a little over 100 patients during the first year of operation. And they doubt that was the fastest start up at that time for one room.
Tony Pollock: Can you give us an idea of how many patients you need to have per week or per month to break even in Orlando?
Craig Tagawa: We don’t disclose that information, we don’t talk about individual units whether in terms of what the breakevens are?
Tony Pollock: Okay. How are we as an investor to know whether it’s going to be successful or not?
Craig Tagawa: I think you’ll see two things happening and you’ll see in the next several quarters what the revenues are from protons. So I think you’ll get an idea of the change in profitability from that?
Tony Pollock: Okay. So in terms of revenues you’re not willing to divulge how many procedures or whatever you call it to breakeven or to start making money for the company?
Craig Tagawa: Correct. We look at that as confidential.
Tony Pollock: Okay. I guess [conveying to your] last caller, when you said that you expected a proton beam to be ready two years after obviously that was a major mistake of the company and whoever made that thought process probably should be with the company anymore, because obviously that’s one of the main reasons the stock is down 60% or 70%. So major money which was written down in my understanding of the Mevion investment was because they were delayed another eight years from when you expected them to be approved. So that’s just a comment. Thank you.
Operator: Our next question comes from Richard Greulich from REG Capital Advisors. Your line is open.
Richard Greulich: Thank you. I just had a couple of questions and sort of a comment. First question, I was just rereading the 10-K and I noticed that I think it was Moss Adams, who does the auditing and tax preparation for you. Their fees doubled between 2014 and 2015, what was the reason for that?
Craig Tagawa: One, there was a lot more work to be done due to the Mevion investment both from a valuation standpoint and just the general increase in fees for work that need to be done.
Richard Greulich: But the audit fee went from $150,000 to like $300,000. I don’t understand why that happened?
Craig Tagawa: Yes. What I try to convey is a great bulk of that was due to the Mevion valuation analysis and the work that had to go into that.
Richard Greulich: That seems like a lawful lot. I mean I could value Mevion for a lot less. And then in addition there was $100,000 fee that kind of consists of tax compliance, preparation and other tax service, so that separate from the audit fee they have not taken?
Craig Tagawa: That’s correct and that’s consistent with the prior years.
Richard Greulich: That’s correct. Okay. So should we expect the audit fee to go back down to $150,000, $170,000 instead of $300,000 this year?
Craig Tagawa: It will go down I don’t know to what extent to be honest with you, we’re working on that.
Richard Greulich: The second question I have is now that the proton unit is operational, could you delineate the difference between the amortization or depreciation just starts to happen, so it’s not capitalized.
Craig Tagawa: I’m sorry.
Richard Greulich: I’m assuming you capitalized any expenses at this point until it goes into operation, so now that it’s in operation are there expenses that are not being capitalized now?
Craig Tagawa: No, there will be traditional operating expenses. We are going to run it just like we do in many of our Gamma Knife units. So there will be expenses. They’re not significant expenses compared to the dollar value of equipment, but obviously we have insurance and personal property taxes that are involved; we will have those in marketing expenses and obviously, interest and depreciation going forward.
Richard Greulich: Right. For the benefit of a couple of the prior callers and I’d like to just make a comment and then if you’d like to comment on my comment that would be great. But in terms of the actual prices that were paid for the – are contracted for with the three Mevion units. I would refer the callers to look at three pieces of evidence. Mevion filed an S-1 registration statement with the SEC when it was planning on doing an IPO. So if they go to page I think it’s 37 in that. Then the Company’s third quarter 2014 10-Q purchase commitments and then lastly in the 2015 10-K in the subsequent events part you talked about what some of the purchase commitments than we’re used to pay when you finalize the financing and anyway long story short. The Mevion units list price is about $25 million so if soon they sell for about 18. Your cost for the first one was about $10.5 million and your cost for the second one was about $11 million and your cost for the third was about $12.5 million. One way to look at it is you have an embedded profit in those three units, so what your cost is versus what the market price is today. And if you tax effect that it comes to about $1.80 profit per share of stock right now. So if you add that with the remaining $2 million deposits that you have on the two other units which is about $0.20 a share. So, basically the price of the stock today reflects the embedded profit you have on the Mevion contracted systems and the deposits you have and gives no value at all to your remaining business. But the reason it gives no value at all to your remaining business is because your top three employees make a $1 million a year and that’s where the profit went. So the business is profitable but the end result the shareholder gets no money. Would you care to comment on the valuation numbers?
Ernest Bates: No.
Richard Greulich: Thank you.
Ernest Bates: You’re welcome.
Operator: Our next question comes from Mason Matschke from Raymond James. Your line is open.
Mason Matschke: Hi, guys.
Ernest Bates: Hi, Mason.
Mason Matschke: Part of my question was already asked. But I did want to mention that, I think it would be really helpful. If the company were to deviate from their past and give us a little bit more information on the new Mevion machine. This is critical to shareholder value in the future. And I think a lot of these investors that have been on this call would really like to see as the machine ramps up, when it hits profitability and so we can understand what the upside potential is, how many patients we could see from this and how much in profits this first machine could generate. And then that would give us a good idea of how to evaluate future machines. And I think it would be really helpful, if you would take the time to discuss how you could show a little bit more information on how shareholders can improve value from understanding the return on these two machines that are coming in the future including the one, the new one that you’re going to be moving forward with. And I also believe it’s very important that management take a strong look at how they’re being compensated. A lot of us have owned shares for a long time. And we don’t collect a million dollars in salary. That’s my last comment. Thank you. End of Q&A
Operator: Mr. Tagawa there are no further questions. Would you - do you have any final remarks.
Craig Tagawa: No. I’d just like to thank everyone for joining us this afternoon and we look forward to speaking with you in August on our second quarter 2016 results conference call. Operator This call will be available in digital replay immediately following today’s conference. To access the system dial 888-843-7419 and enter the passcode 42509287 followed by the pound sign to access the replay. The webcast of this call will be available at www.ashs.com and www.streetevents.com. This concludes today’s teleconference. Thank you for participating. You may now disconnect.